Jardon Jaramillo: Thank you, Jimmy. Good morning everyone. I’m pleased that you’re able to join us today. Before we begin this morning, I’d like to remind you that we have prepared a presentation to supplement our discussion, which we’ll be referencing throughout the call. The slides are available on our website at investors.portlandgeneral.com. Referring to slide two, some of our remarks this morning will constitute forward-looking statements. We caution you that such statements involve inherent risks and uncertainties, and actual results may differ materially from our expectations. For a description of some of the factors that could cause actual results to differ materially, please refer to our earnings press release and our most recent periodic reports on Forms 10-K and 10-Q, which are available on our website. Leading our discussion today are Maria Pope, President and CEO; and Jim Lobdell, Senior Vice President of Finance, CFO and Treasurer. Following their prepared remarks, we will open the line for your questions. Now, it’s my pleasure to turn the call over to Maria.
Maria Pope: Thanks Jardon and thank you all for joining us today. I hope that you and your families are staying safe and healthy during what continues to be a very challenging time. Portland General and all of us here have been put to the test several times this quarter. Our team has tackled difficult issues head on and took swift actions. I'd like to discuss each of these two events. First, at the end of August, we announced that energy training activity in certain wholesale electricity markets would result in significant losses. Upon learning of the issue, our Board of Directors immediately formed a special committee to review the energy trading situation. This review is ongoing. At the time, our team worked quickly and in early September, we announced that we no longer had net market exposure. I want to make two things clear. This effect of trading losses was isolated to the third quarter and the trading losses had no impact on our operations. Second, we experienced one of the most destructive wildfire seasons on record. In responding to the wildfires, the entire organization demonstrated resilience and unwavering focus on customer safety. At the onset of the historic windstorm and high risk wildfire conditions, we worked in partnership with local authorities and emergency responders to proactively shut off power in several high risk areas. During the course of the week, we not only enacted public safety power shut off, but we also restored power to about 250,000 customers. Over the last several years, our investments in new resources, vegetation management, as well as inspection and maintenance of our equipment enabled us to act swiftly, which helped emergency responders safely fight the wildfires. We continue to invest in improving our systems including steel poles, substation upgrades, distribution, automation, and other equipment. These and other initiatives build on our strong operating foundation. With growing demand in the Pacific Northwest, these needs are more important now than ever. Our vision; for a clean energy future drives our strategy. There's a clear need for urgency and addressing climate change and to meet our customers' desire to be served with increasingly clean renewable energy. We are building on our 11-year track record of having the largest renewable energy program in the United States with over 25% of customers buying 100% green energy. Today, we have a number of projects and initiatives underway. Our agreement with Avangrid to source power from the largest solar farm facility in Oregon will serve an equivalent of 40,000 homes. We're furthering our investment in battery storage, testing several projects across our service territory. Between the Wheatridge, wind, solar and battery storage project and these other investments, we have a lot of important work underway throughout our state. With year-to-date earnings of $1.15, we're on track to finish at the upper end of our guidance range of $1.40 to $1.60 per share. Our underlying operations remain strong and we continue to find efficiencies and reduce costs throughout our organization. Finally, I want to recognize the hard work of our co-workers and first responders, who in the middle of a pandemic, went above and beyond to protect our community. Before I turn the call over to Jim, I would like to take a moment to thank him. As I'm sure many of you have seen, yesterday afternoon, we announced that after a long and successful career at PGE, Jim plans to retire at the end of the year. I can't overstate what Jim has done for PGE throughout his 36 year career at the company. He actively lives our company values and his dedication and leadership have been instrumental in driving financial improvements and strategic initiatives. Jim is well recognized as a leader across the west and played an important role alongside other utility leaders in creating the western wholesale financial power markets. On a personal note, his camaraderie and counsel have meant the world to me and the officer team. In connection with Jim's retirement, Jim Ajello, the former Executive Vice President and CFO of Hawaiian Electric Industries, has been appointed Senior Advisor, effective November 30th. He'll step into the CFO role on January 1st. We're excited to have Jim on board. We also announced that Brett Sims, our Senior Director of Strategy, Commercial & Regulatory Affairs, has been appointed Vice President Strategy, Planning & Energy Supply effective today. A top priority for Jim and me, as well as the entire management team is to ensure a smooth transition. Finally, I want to add that we're pleased to welcome Michael Lewis and Jim Torgerson to our Board of Directors. Both Michael and Jim bring valuable skills and extensive utility experience that will support our efforts to ensure a clean energy future for Argonians [ph]. And now, let me turn it over to Jim. Thank you.
Jim Lobdell: Thank you, Maria and thank you for those comments. Good morning everyone. Before we discuss our financial results, I'd like to recognize the resiliency and focus the company has maintained throughout this quarter's challenges, ensuring that we deliver on our commitments and continue to invest in safe, clean, reliable, and affordable energy for our customers. Turning to slide six, I'll walk through our quarter-over-quarter results. As Maria mentioned earlier, our earnings this quarter were impacted by the losses associated with our energy trading activity. Despite this impact, our core operational results were strong and there were several items to highlight. For the walk, I'll start with $0.61 for the third quarter of 2019. Excluding the impact of the energy trading loss on our purchase power and fuel expense, gross margin decreased by $0.09. This includes a $0.02 increase in total revenues. Retail deliveries increased 4% compared to the third quarter of 2019 as deliveries to both residential and industrial customers showed considerable growth over the prior year. The impacts of increased residential usage are largely offset by the decoupling mechanism. Commercial deliveries, which declined exceeded their 2% cut on collections this quarter. In 2021, our decoupling mechanism will reset again. This increase in revenue was offset by an $0.11 decrease attributable to higher power costs, partially driven by an increase in the average price for purchase power. Second, there's an $0.11 cent increase for lower plant and transmission and distribution operating expense, which was primarily driven by reductions in outside services, increased capital work relative to O&M and reduced maintenance at our generation facilities. Third, a $0.12 increase from reduced administrative and general expenses which includes a $0.06 increase from expenses that did not reoccur, primarily associated with the stabilization of our billing system in 2019; a $0.06 increase from lower administrative expenses due to reduced incentives and health insurance premiums; a $0.04 increase do the efficiencies at Boardman as we finalized operations leading up to the coal-fired plants shut down in October. Next, a $0.04 increase in other income from AFDC equity associated with ongoing construction of our integrated operation center in Wheatridge facilities and an increase in unqualified benefit trust from investment returns. There was a $0.05 increase lower tax expense, primarily driven by lower pretax book income, following revisions to our forecast after the impact of the energy trading losses. Finally, there was a $0.02 increase from lower miscellaneous expense. Energy trading losses represented a negative impact of $1.09 per diluted share. This amount represents the $127 million impact from the energy trading losses net of $30 million tax impact in the quarter. This brings our gap net income to a loss of $0.19 per diluted share. After adjusting for the impact of the trading losses, non-GAAP earnings per diluted share was $0.90. Onto a regulatory update. Last week, the Oregon Public Utility Commission approved two of our outstanding deferrals. First, the Commission approved our application for deferral of certain incremental costs related to COVID-19. The final stipulation among parties related to the deferral has been filed with the commission. The stipulation includes dates from -- for restarting disconnects, late fees, and extended time payment agreements. Second, the Commission approved the deferral for incremental O&M and capital expenses related to the September wildfire events. We are continuing to assess the damage to our system and expect additional O&M and capital costs related to the wildfires to be assessed or to be addressed by the deferral. Also, we received an order approving a renewable adjustment clause for the Wheatridge energy facility. The Commission found that we acted prudently in our decision to select the facility in consultation with the independent evaluator. The project is scheduled to go into service by end of this year. Regarding our future resource needs, we plan to issue one or more RFPs for new non-emitting resources in the first half of next year and plan to file an IRP update before the end of 2020. On to slide seven, our balance sheet remains strong and has the capacity necessary to continue to invest to serve our customers. As of September 30th, 2020, we had $919 million as available short-term credit letter of credit capacity in cash and $688 million a first mortgage bond issuance capacity. We plan to further strengthen our liquidity position by issuing up to $230 million of long-term debt securities later this quarter with net proceeds being used for general corporate purposes and repayment of short-term debt borrowings. We expect to fund the remainder of the 2020 capital requirements with cash from operations and the issuance of commercial paper is needed. Moving on to slide eight, which shows our updated capital forecast. We added $100 million to our capital forecast for investments that prioritize the reliability and resiliency of our system while minimizing customer prices. Recent weeks have demonstrated the importance of maintaining a safe and reliable grid as our system continued to perform despite facing the challenges of high wind and wildfire events. As Maria had mentioned, we're reaffirming our full year 2020 guidance of $1.40 to $1.60 per share. For 2020, we're expecting to finish in the top half of earnings guidance. We're also reaffirming a long-term EPS growth of 4% to 6% and establishing 2019 as the base year for this guidance. This growth is supported by our continued focus on long-term benefits for our customers of carbonizing our power supply, electrifying the economy and delivering strong operational results to ensure safe clean affordable energy. And now operator, we're ready for questions.
Operator: Thank you. [Operator Instructions] The first question comes from Insoo Kim with Goldman Sachs. Your line is now open.
Jim Lobdell: Morning.
Insoo Kim: Thank you. Good morning Jim. Congrats and best of luck in the next stage.
Jim Lobdell: Thank you.
Insoo Kim: First question is on timing of rate case, given the COVID and the wildfire deferral helps you stabilize the earnings trajectory somewhat. What are your latest thoughts on potential timing of the next general rate case? And in a scenario where you file or do not file the next year, so do you anticipate any need for equity?
Jim Lobdell: Insoo we always evaluate on an annual basis whether there is a need for a general rate case on a forward basis and we're continuing to do that evaluation. As you know, we are making significant investments in our system on behalf of customers. And we will have those deferrals out there. But we will most likely, if there is any news to be shared regarding a generic case, you'll probably hear that in our fourth quarter call.
Maria Pope: And Insoo, with no need for any equity financing.
Insoo Kim: Understood. Just a little more specific, Jim. But on the -- just for the balance of the year based on the guidance to be at the upper half that implies 4Q to be meaningfully lower just on a year-over-year basis, or based on what you've been earning in the previous few years in the fourth quarter. Besides you know potentially demand for COVID or net variable power costs, differences, what else is driving some of that?
Jim Lobdell: Well, you have to keep in mind that while our revenues are doing well, when you get to the fourth quarter, as we've kind of pointed out in our comments, you've got several drivers that are going on. One is, the decoupling mechanism is really kicked in, in full force. We have a 2% cap on the amount of collections that we can do from customers. And if you looked at the residential side, it's basically being decoupled away, and on the commercial side, we've hit that cap, and now we're absorbing the continued decrease in commercial loads. But the other thing is, is that on the power cost size, we've always pointed out we were way down below the baseline in prior quarters. And now we're moving up into the deadbands. And that really is being driven by flows of energy in the market, given the fact that there's been some transmission that's been taken out of the marketplace and caused some constraints along with hydro. And then we move the outage associated with the decreased facility from earlier in the year into the fourth quarter. So you've got that. And then the other items are a bunch of miscellaneous ones associated with things like that the COVID deferral, because of the fact that we cannot do disconnects until we get, let's say, for commercial till the 1s of December, and then in April of next year, when we get to residential, that we can't charge late fees, and late fees have always been part of our revenue on an all the prior quarters that we have out there. And then as I mentioned, there's a bunch of miscellaneous stuff. Obviously, we're incurring some additional costs associated with the -- this review by the special committee and in defending ourselves in the upcoming losses that we're anticipating regarding the trading that was going on.
Insoo Kim: Got it. Thank you for that detail. And just one more, if I could. Maria, it seems like based on the third quarter year-over-year commercial loan declines, it was definitely a lot more muted than what we saw in the second quarter. Can you describe a little bit what you're seeing on the ground on the small commercial side and in your neighborhood?
Maria Pope: Great. Thank you. So with regards to commercial, it did decline much more rapidly in the beginning of the pandemic and we have seen less decline of late. I think it's too early to call. Clearly, there's a rise in cases across the country. And Oregon is no different. What we are really pleased with is to see the continued increase in industrial customers. Last quarter, as we talked about, industrial growth can be lumpy. We had good growth in the second quarter, and that industrial growth continued to be very strong in the third quarter, up about 9% on a weather adjusted basis. So overall, we continue to be very optimistic about the growth in our service territory, both as a result of migration, which drives residential and somewhat commercial, but more importantly, around industrial, high tech data centers and many of the additional customers that we're seeing come into the area.
Insoo Kim: Got it. Thank you both.
Maria Pope: Thank you.
Jim Lobdell: Thanks, Insoo.
Operator: Thank you. Our next question comes from Julien Dumoulin-Smith from Bank of America. Your line is now open.
Julien Dumoulin-Smith: Hey, good morning, team. Thanks for the time. And, Jim, best of luck here.
Jim Lobdell: Thank you, Julien.
Julien Dumoulin-Smith: Absolute, it's been a pleasure. I wanted to come back to this board review process, if we can talk a little bit more on the timeframe on that? And perhaps even more importantly, can you talk about your senses to any potential process at the Oregon QC and where that may stand now? Specifically as it relates to trading loss, but frankly, more broadly, if there's anything on the wildfire front we should be watching to?
Maria Pope: Sure. So thank you, Julien. And as I noted, the special committees review is ongoing, we'll make sure that it's thorough, and then we get to the bottom of all that took place. And we'll make sure that we're transparency as we learn more. So I don't have anything more with regards to timing on that. I would imagine that the PUC and chair Decker will take the appropriate actions to ensure competence and customer pricing in our risk management philosophies. I would say with regards to wildfire, recovery with regards to COVID recovery with regards to overall proceedings at the PUC there is there's a number of dockets it's very active, and we continue to work constructively with all parties.
Jim Lobdell: And we're very pleased that the commission acted so swiftly when it came to wildfires, it was greatly appreciated.
Maria Pope: There's no question about it. It was an unprecedented event. And we are -- we are fortunate to have taken swift action to have prevented any we know of no, none of our equipment that contributed to any of the wildfires.
Julien Dumoulin-Smith: Yes. Saw that in the queue. Just quick clarification here, if I can. Just a couple details in Portland -- the baseline 2019 that's actual or is it something else? And then separately, what's the thought process on the balance of the previous reduction in the CapEx is there a prospect to bring that back? Just curious 100 verse 180.
Maria Pope: So let me let Jim address to use the details around exactly our base for our forecasts. But please know that we heard you and another investors wanting more granular detail with regards to our 4% to 6% long term growth rates. And as when we look at our capital, we are we are very attuned that the impacting customer prices. But we also recognize that we are lucky to have significant customer growth in our area and new capital needs to support that customer growth. And then in addition, investments in infrastructure that's aging, wildfire resiliency, and others. So as projects come up as we continue to plan -- there maybe additional amounts. But at this point in time, it's too early to call, we are very focused on ensuring customer prices remain low and affordable across our area. So Jim, do you want to talk a little bit more about the baseline?
Jim Lobdell: Yes, Julien, 2019 we chose that because that was the last generic case that we had been through and so that provides a cleaner look, when you're trying to forecast on a forward basis. And as Maria pointed out at the capital, we've got a lot of growth going on in the service territory, with additional minimum load agreements being signed by customers, increases in the digital space, and just overall in migration. I mean, we have a shortage of housing in the State of Oregon. And that is keeping a lot of people busiest. Homes are being built up very, very quickly. So great amount of demand here, and that's really showing up in our numbers.
Julien Dumoulin-Smith: Got it. Excellent. All right. I'll leave it there. Thank you all very much.
Jim Lobdell: Thanks Julien.
Operator: Thank you. Our next question comes from Sophie Karp with KeyBanc. Your line is now open.
Unidentified Analyst: Hi, good morning. Thanks for taking my question. This is Sangeeta on for Sophie.
Maria Pope: Good morning.
Jim Lobdell: Good morning.
Unidentified Analyst: So, if you could give us a little bit more color on the magnitude of the wildfire costs that you will be deferring what the discovery mechanisms are in the State of Oregon. If you're plan to fold into your GRC, or if it's going to be a separate proceeding, any color on that would be pretty helpful.
Jim Lobdell: Yes. When it comes to the wildfires, we're about $10 million in cost right now. The mechanism is a 12-month period that the deferral runs. We're currently trying to assess the additional damage to some of our transmission lines that they're out in the rural areas. And so we don't have cost estimates associated with those at this particular point in time. So there's more to be figured out. So there's more capital that we're anticipating that we're going to have to spend to recover some of this infrastructure. And we'll know those numbers when we get done with those assessments.
Unidentified Analyst: And a little bit more on that, do you think you want to fold it into a GRC? Or is it more likely to be a separate proceeding?
Jim Lobdell: If this would be separate, the fact that it is a deferral at this particular point in time, the period of recovery hasn't been determined as of yet.
Unidentified Analyst: Okay, that's great. Thanks so much.
Jim Lobdell: Thank you.
Operator: Thank you. Our next question comes from Anthony Crowdell with Mizuho. Your line is open.
Anthony Crowdell: Hey, hi, good morning.
Maria Pope : Good morning.
Anthony Crowdell: James, congratulations. Best of luck in the next phase, a great career with 36 years in Portland.
Jim Lobdell : Thank you. It's been a long-haul.
Anthony Crowdell: Apologies for just looking to get more in the weeds on the guidance. But just to follow-up on Julian's question earlier, the base is 2019, I have earnings in 2019 at 239. And the thought is that every year post 2019 is going to be between that 4% to 6% growth. It's not something that some will be out, some of the above, it's each year will fall within that range.
Jim Lobdell: Correct.
Anthony Crowdell: Great. And then if I could transition to O&M this quarter, I think I lost what slide I was, but on the waterfall chart there, there was $0.20 you guys took for not only distribution and transmission, O&M savings, but also some G&A savings, is that something we can more sustainable going forward?
Maria Pope : Sure. As Jim mentioned, there were a number of issues that took place in the quarter that were favorable and some issues that were just reflective of significant moves like our cost of outage. So while we have made significant productivity, and performance improvements across our operations, we had a particularly good quarter this year, and you're going to need to sort of look a little bit more long-term. As the improvements relate to investments and capital, they would relative to management and technology. And those don't necessarily just all happen all at once, but they take a while to really become embedded in our operations. So I would, we're grateful for the great third quarter, O&M experience, but muted as we move forward and really focus on continuing to improve our operating performance and productivity.
Anthony Crowdell: Great. And then just lastly, on the trading loss, just thinking about what anything that you could talk about that has maybe changed, like, who the trading report to? Who does it report to now, or any type of safeguards that are in place now versus what was there before? And I know there's a report coming out or there's independent review, and I'm just curious what you could tell us there?
Maria Pope : Sure. So first of all, as I noted, and we've been very clear on, we move very swiftly to consolidate and isolate the events associated with the trading losses and their impact is just to the third quarter, we have made a number of reporting changes and taken other actions. First and foremost, as I mentioned in my remarks with regards to Jim's career, he has extensive knowledge across the Western Power markets and power operations currently reports to him. Risk management in the company reports to myself and we have brought in an outside expert to help us. We've also beefed up other staffing, and are taking this very seriously to ensure that it never happens again. We look forward to the report being finalized, I promise you no more. Jim and I as much of our Board of Directors, and we will be transparent with our findings. Jim, anything else you want to add.
Jim Lobdell: No. Just to clarify that these management changes were power operations reports to me is something that happened post the event.
Maria Pope : Yes.
Anthony Crowdell: Okay, great. And lastly, just will that report be issued to investors, or is that just something that was being channeled to the Board?
Maria Pope : I don't know how the Board will handle that. This is up to them and their decision making. But please know that they will are proceeding through a thorough process.
Anthony Crowdell: Great Maria, James, thanks for taking my questions.
Maria Pope : Thank you.
Jim Lobdell: Thank you.
Operator: Thank you. Our next question comes from Brian Russo with Sidoti. Your line is now open.
Maria Pope : Good morning, Brian.
Jim Lobdell: Good morning, Brian.
Brian Russo: Hi. Good morning. Hey, just on to follow-up on the CapEx question, the $100 million of incremental CapEx that you're laying in for 2021? Are you essentially just adding back what was reduced in April? And how does that kind of play into maybe an improving economic outlook in your service territory from April?
Jim Lobdell: Well, Brian, you've got a spot on, those are hand-in-hand. We're continuing to see growth in the service territory. As I mentioned earlier, we've got strong residential growth that's going on strong housing market, in migration, and then a lot of growth in the digital space. And then we continue to do in invest in the resiliency and aging infrastructure that we have in the system. And then what is there is there is no amount associated with any renewable resources that we plan on adding to the system. If they were to come out of the RFP process, and then we've still got in a investments in the restoration of the system associated to wildfires. So we will -- as we've always done, we will evaluate on a quarterly basis. We have a gating process that I've mentioned previously, is that we're making sure that every project goes through diligence phase before it gets moved forward to be included in our SEC capital expenditure updates.
Brian Russo: Okay. Got it. Thanks. And then just on the fourth quarter year-over-year, looks like headwind in power supply costs, I think that according to the queue as of September, you were $27 million below the baseline, and the comments is that you'll be within that range. So the $27 million below will go to at least $15 million below but above zero, but still below zero. Is that the way to look at it?
Maria Pope: Yes. One thing I want to note is that we closed Oregon's only coal fired generation facility a number of days ago. So the Boardman plant has ceased its operations. We've also seen higher gas prices throughout the Pacific Northwest as a result of pipeline issues in Canada and elsewhere. And we're watching the hydro and precipitation issues pretty closely. Jim, anything else you want to add?
Jim Lobdell: No, Brian, if you've got the math, right, we on a year-to-date basis, $27 million below, and then we will be up base -- somewhere in the call it by your end.
Brian Russo: Right. Got it. So your guidance for 2020 includes anywhere between zero and $15 million of supply, power supply cost benefits for the year?
Jim Lobdell: Yes. That's correct.
Brian Russo: Okay. And then just one more clarification. Did you guys defer $6 million of bad debt expense in the third quarter? So that $6 million did not hit the expense line? Is that the way to look at it? Or is that still pending to be deferred?
Jim Lobdell: Well, general rate case that we generally assume about $6 million worth of bad debt. We had talked previously about bad debt expense that we would be incurring, and we are now deferring and the amount associated with our deferral right now is probably around the $8 million range.
Brian Russo: Okay. But in the third quarter reported results, you were still expensing the bad debt expense, correct?
Jim Lobdell: Yes.
Brian Russo: Yes. Got it. Okay. Thank you very much, and good luck, Jim.
Jim Lobdell: Okay. Thank you, Brian.
Operator: Thank you. And our next question comes from Travis Miller with Morningstar. Your line is now open.
Travis Miller: Good morning. Thanks for taking my questions. And again, I'll eco Jim, congratulations and best of luck.
Jim Lobdell: Thank you, Travis.
Travis Miller: Wanted a little bit more on the trading losses. One, I'm thinking, how should we think about putting that number in perspective, relative to your purchase power cost and other fuel costs? Is this something that would be put in perspective over a quarter or over a year, over a couple of years? How should we think about that $127 million in terms and then that'd be after tax, right relative to the 292 purchase power costs in the quarter 554, over the nine months? Can you give me a sense of that?
Maria Pope: So thank you, Travis. The event is isolated does not relate to our ongoing power operations. The number of $127 million is a pretax number. And the EPS impact to the third quarter is $1.9.
Jim Lobdell: And just know that those positions were all closed and added in that quarter, so there be no carryover to the fourth quarter from market exposure.
Travis Miller: Okay. And where these -- when you say confined to the quarter, where these costs and trading losses that happened during the quarter, or they were just booked in the quarter from past over a series of quarters, right. So I'm trying to try to think about this in terms of your overall purchase power cost?
Maria Pope: Yes, they were realized 100% in the third quarter.
Travis Miller: Okay. So thinking about the number be relative to that in a 292 of booked purchase power costs. Is that fair?
Maria Pope: Yes. That's how I would look at it.
Travis Miller: Okay. Okay. And then you mentioned potential legal action. Do you have legal recourse to anything related to those trading losses, any chance of recovering from customers that recovering through legal means? Any of them….
Maria Pope: So we were very clear that we're not recovering these costs from customers. In our 10-Q, we note that we have received a couple of losses and have disclosed those.
Travis Miller: Okay. And those are lawsuits against you guys or you're filing lawsuits against the people?
Maria Pope: No those are lawsuits against us.
Travis Miller: Okay. Do you have any legal recourse against the people who were doing the trading losses, who made the trading losses?
Maria Pope: So the investigation is ongoing?
Travis Miller: Okay. Okay. Very good. And then any chance and discussions with the PUC about putting in some kind of wildfire mitigation plan, obviously your neighbors to the South, stuff like that, any thoughts on doing capital through designated program going forward?
Maria Pope: Sure. So the Oregon Public Utility Commission has been leaning into the risks around wildfire for some time. One of the commissioners was a leader across the west, in convening forums with regards to, not equipment, insurance, power safety shutoff really bringing together the best minds across the west, and even there is collaboration with Australia, and others, as we figure out what the right thing to do is. We have taken a number of actions over the last couple of years, to ensure that we're well prepared that we've invested adequately in equipment. And that work will continue and we'll continue to work collaboratively with all stakeholders including the commission.
Travis Miller: Okay. Would you be interested in putting together some kind of multi-year plan? Capital investment plan?
Maria Pope: I mean, we do. As you can imagine, in running a utility, most of the things that we do are multi-year in nature, and pretty extensive as we have infrastructure throughout our service territory.
Travis Miller: Okay, great. Thank you very much.
Maria Pope: Thank you.
Jim Lobdell: Thanks, Travis.
Operator: Thank you. And I'm showing up for the questions in the queue. At this time, I'd like to turn the call back to Maria Pope for any closing remarks.
Maria Pope: Thank you very much for joining us today. We look forward to continuing the conversation with those of you who will participate in EEIs virtual meetings. And then we also look forward to talking with you in February as we close out the fourth quarter. Thank you very much and thank you, Jim. Congratulations.
Jim Lobdell: Thank you.